Operator: Good day ladies and gentlemen and welcome to the Match Group Fourth Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will be given at that time. [Operator Instructions] I would now like to turn the conference over to your host for today Lance Barton, Senior Vice President of Investor Relations. You may begin.
Lance Barton: Thank you, operator, and good morning, everyone. Welcome to the Match Group earnings call for the fourth quarter of 2016. Joining me on the call this morning is Greg Blatt, our Chairman and CEO; and Gary Swidler, our CFO. They’re both going to review the Q4 investor presentation that we have posted to the IR section of our website and then we will open it up for questions. Before we start, I’d like to remind you that during this call we may discuss our outlook and future performance. These forward-looking statements typically may be proceeded by words such as we expect, we believe, we anticipate, or similar statements. These statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our earnings release and our periodic reports filed with the SEC. With that behind us, I’ll now turn the call over to Greg.
Greg Blatt: Hi, everybody. Welcome. Glad to have you with us. Q4 another solid quarter for us. Just going ahead to Slide 4, PMC perspective pretty much what we thought stronger international continue driven by Tinder, Pairs in Japan, Meetic, et cetera. Little softer North America again given what we talked about last quarter, which is the beginning of the effects of our controlled PMC run-off at Affinity, which again we talked about would have an effect sort of throughout this part of the year. And a reminder that gloriously this will be our last quarter talking about pro forma for POF, as that will anniversary, and we will never have a look at that again. Moving to Slide 5, Tinder subscriber growth continues to be great, really you think about it from 0 to almost 1.8 million subscribers in under two years on a global basis, really is a phenomenal, no signs of relenting here, see it moving up the app chart in terms of gross revenue, really just continues to be a phenomenal success story and going very well. Focusing a little deeper on Tinder at the product side, we have really been cranking here. Again, we’ve scaled up dramatically in 16 in terms of resources. Over the last few months, we have really been focused on three principal projects. One is the web application and the alternative sign up to Facebook, which we talked about last quarter. We expect those to launch, both of them in Q2, we think they are real opportunity to expand the top of the funnel and give access to users who currently are not for a variety of reasons using Tinder. Additionally, and this was a little unexpected. We sort of paused in Q4 and decided to really tackle some tech debt and we devoted a huge number of our resources to doing so. We are just hitting such a scale not on like sort of, not that many start-ups that have gone from 0 to where we are as quickly as we have, but usually start up's have to rewrite their code when they start hitting scale. We hit it very quickly. We were starting to hit crash rates we were starting to see especially on android some retention issues because the app wasn't loading, just real basic performance stuff. We have already reduced crash rates by 90%, started to see retention tick back up in those areas and really amazing that we're having the success we’re having even with what has been a pretty quality machine. And as we roll that off over the next few weeks both on Android and iOS, really sets the stage for what we expect to be very vigorous 2017 product roadmap. Looking at that part again, plan on doubling tech resources this year as well, we’ve got major updates planned, really across the board, profile, discovery, communication monetization. I think Tinder a year from now will certainly seem very different than it has in a number of exciting ways. So, very robust idea map and the resources behind it to bring it to fruition. Knowing the space that we do, there is no one else out there who is going to bring this much resources to this battle sort of bringing guns to one knife fight. We are going to continue to iterate on product drive innovation breaths and really excited about it. Also, we signed a deal with Facebook to provide us with access ad inventory, obviously our direct sales continue. We are on track in Q1 to more than triple our direct sales from Q1 last year, but as we roll in Facebook we’re going to be able to start providing inventory on top of that. Should be integrated in Q2 of 2017 and launched at that point as well and another important step in what I would call our non-urgent drive to build this advertising business. It has taken second place to the direct business with good reason, but we are slowly and steadily building it and we think it has real opportunity to contribute down the road. Moving to Slide 7, we talked last quarter a bit about the fact that we are looking to make some discretionary investments into momentum in Tinder, particularly rest of world. I think sometimes we forget how early Tinder really is in its life-cycle here and up until through last year, we had spent very little on international really anything. And in Q4, we started playing with throwing some money into countries like Brazil, India, Turkey etcetera in what I will call non-traditional marketing ways and seeing real lift. It’s not traditional marketing like you are buying this rag and you expect that rag to convert into this, but you have this ROI, it’s more of a trying to actually move up baseline create real viral growth, and we’ve seen some real success with that at very low spent numbers. Q1 of this year we're scaling that dramatically. We're going to learn a lot. I don't think we're looking at this like match, where we want to be as precise as we can on our ROI. I don't think that makes sense at Tinder right now, at the same time, we are going to look at it pretty closely and make sure that it at least seems to be making sense. That will take us a while to develop a fully fledged measurement system. We will be moving dollars from this channel to that channel and we may end up toggling it back a while, if it doesn't hold, but if it does, we think it will pay real dividends not in 2017, but in 2018, 2019 as we really entrench ourselves in some of these markets. I mean, we had a day last month where Brazil actually exceeded the U.S. in registrations. I mean that’s incredible. We are creating real momentum in some markets that while lower monetizing than western markets have huge populations and do monetize at a reasonably strong rate. So, we think it’s a really good investment if we can make it work and Gary will talk about that putting some margin compression on this year. We will know a lot more after Q1 about how much that’s going to be as the year goes through, but right now we are committed to doing this and learning about it. Switching to Slide 8, nothing you don't know, but I thought it was helpful to talk about 2017 in the context of 2016 for our non-tender brands, 2016 was as we said repeatedly really about bringing ourselves into mobile alignment, mobile parity if you will. We did work on native apps, we did work on our underlying technology, we did work on mobile web across the board, and as you can see here just a few examples of some of the gains that we got in doing so. And that was really the agenda for 2016. We talked a lot about driving up conversion, which we’ve continued to do and that’s only one of many measurements obviously, but one that we've talked about. So, we feel like we’ve got a really good job on that piece of it. If you go to Slide 9 in 2017, the plan here has been now about starting to widen the top of the funnel. I think as we look at what’s happened over this two or three-year push to bring Match, PlentyOfFish, OkCupid, Meetic into oh mobile world, I think one of the things that’s happened is the product has somewhat lost their differentiation and you are focused on making the user interface work in the mobile platform. You are focused on messaging. You are focused on all these things. Prior these four brands had 10 plus years to develop their own personality. I think some of that has been lost. I think in this world you need to have a differentiated concept in order to thrive and so one of our real focuses this year is recreating that differentiation product to product, putting our marketing behind that differentiation and that’s really our strategy to growing the top of the funnel. Slide 9 shows just a couple of examples. On Match, we just learned something called Missed Connections. Huge response for the people who are adopting it. We are also removing our focus on events. Events have continued, but they haven't really been a focus of marketing the way they have at Meetic for instance and Match, the whole theory of Match now is becoming more like meeting in the real world. You’ve got these location-based features, you’ve got the events. We’ve got two or three more big products releases over the course of the year, and we are going to organize our marketing efforts around those to really drive growth in this area. OkCupid, another example. OkCupid has always had an audience that’s a little more educated than the rest of our businesses. A little more eclectic, and yet if you look at the profile on the left here on this slide, you will see that all of that was lost in the mobile experience. The old desktop profile would have lots of information about somebody. The OkCupid profile became effectively one photo. We moved it to the right or we added more photos. We added the questions and answers scores back in that made OkCupid so unique. We added a bunch of information as you can see from the stats above, just on focusing on the individuality of our membership, we’ve really driven some, really great returns on that in terms of user behavior. So this is just a sampling of the strategy for 2017, it's differentiation of these businesses and putting our marketing and PR effort behind it, and we think that’s what is going to drive the increasing top of the funnel throughout 2017. And before I turn it over to Gary, I just wanted to hit on, obviously with some big news of the release, which is our impending sale of Princeton Review. Princeton Review is a business that I personally championed buying a few years ago. I think it’s a great business. The theory we had at the time is sort of the consumer Internet side of it would predominate and that we had great expertise in that. I think that that will prove to be the case. I think the stickiness of the existing off-line business surprises a bit. I think that as a result the dissimilarities versus the similarity balance was off versus what we thought. We continue to believe that it’s going to reach its destiny as a primarily digital one-stop business. We believe in it, but I think from a focus perspective, given what we think would be an increased timeline we thought it made more sense to move that into the hands of an educational player and for us to focus a little closer to home. So, we're glad we got that sale done. We got at a price we feel good about, and I think we are expecting to close sometime in the first half of the year, but we're really focused on dating going forward. Gary?
Gary Swidler: Okay great. Thanks Greg. And to that point, the financial information that we present here in the slide, starting on Slide 11 relate only to our dating business. We expect to take a hard look at the end of the first quarter whether Princeton Review should be considered a discontinued operation, but with regards with that we are focused on focused on the dating business and we’re talking about our business now as the dating business only. So, I just want to make sure that that’s clear to everyone as we flip through the financial slides. If you go to Slide 11, for the fourth quarter we reported dating revenue of $295 million. If you exclude the impact that FX had on the quarter’s revenue, given the appreciation of U.S. dollars since the U.S. presidential election, we would have had $297 million of revenue or 23% year-over-year growth. Pro forma for POF, this was our seventh straight quarter of double-digit revenue growth on a year-over-year basis. Our revenue pro forma for POF grew 14%, you can see on the bottom Side 11, and operating income grew 33%. We also improved our EBITDA margin on a year-over-year basis again in Q4 as we’ve done every quarter in 2016; primarily due to the leverage we are getting from our lower marketing spend brands. And one other thing I just wanted to point out in our Q4 results, we had a $6.5 million fair value adjustment in the quarter related to an earnout on one of our smaller acquisitions. The earnouts can be quite sensitive to small changes in our forecast for the business. The adjustment does not relate to PlentyOfFish acquisitions, which does not have an earnout and I just point out these adjustments tend to be volatile quarter-to-quarter moving up and down, so you shouldn't read too much into those kinds of adjustments. If you flip over to Slide 12, just looking back on the entire year of 2016, both as we reported and on a pro forma basis for POF, we are very proud of the results that we put up in 2016 as Greg has said delivering on what we said at the time of our IPO. Our dating revenue exceeded $1 billion for the first time and it grew 15% year-over-year pro forma for the POF acquisition and in fact we are north of 15% growth on all of our key metrics for the year of revenue, operating income, EBITDA, PMC when we factor in the POF acquisition. And then we achieved 36% operating, adjusted EBITDA margins for the year, which is very strong growth here on the margin performance. If you flip to Slide 13, the Slide we showed consistently it shows our ARPU and you can see now that we have lapped the one-year anniversary of the POF acquisition. ARPU has been steady throughout 2016. You can see that prior quarters had no peer down on a year-over-year basis largely due to the one-time impact of the POF PMC base coming into our ARPU calculation, but now that’s over, I think the numbers are much more clear. There was some Q4 pressure on international ARPU on a sequential basis from the impact of the U.S. dollar appreciation, but it is steady year-over-year as you can see on the chart on the right. We also have made a change to our calculation of ARPU. We’ve had at de minimis amount historically of nonsubscriber revenue in our ARPU numbers. We removed that now for our ARPU calculations and we’ve adjusted the prior periods as well for comparability. We started to have Boost a la carte revenue to nonsubscribers in Q4. It really started in the middle of Q4, it’s still a relatively small amount in Q4, but we think it will be larger going forward. And so to improve the disclosure we have now stripped that out of ARPU for all periods including the Q4 period. And then I would just mention that both FX impacts, as well as this change in ARPU definition shaved about $0.01 of our reported ARPU this quarter. So, we would be at $0.54 not $0.53 in aggregate had it not been for those impacts. If you flip over to Slide 14 on the outlook for Q1 and for 2017 as a whole, it’s important to emphasize as Greg mentioned that we believe our business has natural margin expansion. However, we're choosing to spend incrementally on Tinder marketing particularly in the rest of the world, and this spend has essentially kept our margin expectations flat for 2017, something what we telegraphed on the last earnings call, but that spend is likely costing us 1 to 2 points of margin expansion in full year 2017. On the third quarter earnings call, we also gave a very preliminary look at revenue for 2017 and we said that we thought it could grow 15% to 20%, that call took place right before, in fact the week before the U.S. presidential election and as I mentioned the dollar has strengthened significantly, especially against the euro and the yen, two critical currencies for us. And that has shaved about 1.5 points of our growth rate for 2017 over 2016. And so there is significant impact from FX in our outlook that we’ve factored in. It could be wrong and that’s just the best guess based on where FX rates are now, but there has been significant movement, which we’ve factored into our 2017 guidance, since the election and since our last call. It also affects of course our Q1 numbers, as well as the other quarters through the year. Other than that, our expectations for 2017 have not changed dramatically since that call. It is important to emphasize that when we made the outlook on the third quarter call we were in preliminary mode, we're still going through our financial plan. I think we’re quite clear about that. We have firmed it up since then and so we reflected all that in our guidance that’s on this page. It’s very much worth noting that we expect revenue momentum to build throughout 2017, as Tinder’s product momentum build and in North American businesses improve in their performance. We continue to believe that PMC will grow by more than 15% in 2017, largely driven by Tinder, POF and the international businesses, which are the same businesses that drove growth in 2016. The North American brands will contribute to PMC as we get later in this year. At Tinder, it is also important to emphasize that revenue growth is going to be driven both by PMC growth and a la carte revenue growth and we are focused on maximizing overall revenue at Tinder not specifically sub growth, and we expect to optimize pricing to maximize the total sub revenue and a la carte revenue in 2017. I also mentioned on the earlier slide on ARPU that it has been flat for a while now and we expect that to continue. We think it could be plus or minus $0.01 in 2017, excluding any sort of unforeseen additional FX impacts. At the bottom of Page 14, we also provide some additional assumptions for 2017. I think it’s worth pointing out that our CapEx is down about $13 million, compared to where it came in, in 2016 and our stock-based comp is up very marginally and equates to about 4% of revenue. If you flip to Slide 15, we’ve been saying that for a while now that we're going to use our cash to deliver, and at the end of Q4 we made good on that paying down about $40 million on our Term Loan B to bring in the balance from $390 million to $350 million. We ended with net leverage of 2.3 times. We also reprised the 350 that was remaining on our Term Loan B in very late 2016 shaving off about 125 basis points off of the coupon. So when you factor in the reprising plus the debt pay downs, we estimate over $6 million of savings from interest in 2017. Even with the voluntary debt payment that we made, we ended 2016 with $254 million of cash on hand, as you can see on the right side of the page that’s a number that’s building, been building significantly, since our IPO. On the side, we’ve actually broken out the domestic and the international cash given all those discussions about potential tax reform and repatriation. We thought it would be helpful for people to see where our cash sits. We also expect in 2017, a mid-50s EBITDA to free cash flow conversion rate. This means that if you take our [Audio Gap]
A - Greg Blatt : [Audio Gap] in terms of the revenue side I think there is a dependence on marketing. I mean obviously some of our businesses have very little dependence on marketing. Tinder, even again, even with this sort of rest of world marketing spend surge it is not really going to make a different in 2017. OkCupid, PlentyOfFish those businesses are not terribly dependent on marketing. Match, Affinity, etcetera are dependent on marketing. It is also true as you state that in any given period the less marketing you - lowering your marketing is likely to help you EBITDA and not really hurt you revenue although it hurts your revenue down the road. So, our forecast is our best mix of our belief on a business by business basis, but what our marketing spend is going to be across the periods. It does move around from time to time as I think, you know you followed us for awhile, you know, things change and become more expensive. They become more expensive, they become more productive. All these things happen. This represents our best guess, I would say that Gary talked about sort of what’s changed from November 1, or whenever we gave our preliminary view to now, it simply built up business by business marketing plans quarter-to-quarter et cetera, you start looking at the logistics of when campaigns will launch and this is where it has come out. So it could move a little bit, but no more so than usual and we always have arranged to reflect that flexibility.
Unidentified Analyst : Thank you.
Operator: Thank you. And our next question comes from Peter Stabler of Wells Fargo Securities. Your line is now open.
Peter Stabler: Thanks very much. Good morning, a couple if I could. Greg, could you give us a little bit more color on your comments on the Affinity. Yes, we know that you mentioned that in Q3, just wondering give that some of these are, and most of these are hard paywall assets, what's your commitment to them? Are these strategically important, could you envision a scenario where you reduce the number of affinity brands? And then one for Gary, could you give us any more color on the PMC outlook now that we are past the pro forma issue with POF, 15% would you be willing to give us any sort of separation between Tinder and non-Tinder assets? Thanks so much.
Greg Blatt: Okay. On affinity the notion of whether something strategic or not is a conversation that we’ve turned ourselves upside now down on many times. I think it’s strategic if it makes us money long term. If it doesn't make us money long term, it’s not strategic. I think that we have a host of brands in affinity, it doesn't cost us really an extra nickel to keep any of them incremental on. So, we spend marketing against each of them, especially on the long tail of them depending on pretty strict ROI look. So, I don't think about it that way. I think when you step back and you think about the affinity situation right now and its impact on PMC, I thought it might make sense to sort of go a little bit deeper on this. You know, all PMC are not created equal. For a given business there are some PMC that walks in the door very cheap, there is some PMC you have to spend money against at a good margin and then you sort of theoretically at least spend right up till up until marginal breakeven on a lifetime value basis. So, we saw it happening at the affinity. Affinity of our hard paywall brands has always been the lowest margin on our unit basis. And we had a pretty large number of subs that we were requiring what I would call close to breakeven marginal lifetime economics. So, assuming a world where we spent a dollar to obtain a sub and we thought that over the life time that we would make a $1.10 off of that sub, right. So, call that a 10% ROI. As we dug deeper and deeper, our math shifted and we thought instead of getting $1.10 for that dollar we were spending, we're probably getting closer to $0.95, which means rather than making $0.10 we are losing $0.05. And as we dug deep that was actually up pretty big trough. So, in the grand scheme of our profitability, cutting out that number didn't really make much of a difference, in fact in the near term it’s helpful, but it’s a big hit to PMC. So, to give some quantification, as we look ahead of our plan, the difference between where we were at the high point in 2016 and where we think we will be in 2017, you're talking about a run off of almost 100,000 PMC. Now in terms of profitability, it really doesn't mean much to us going forward instead of making that - instead of, thinking we're making $0.10 or in fact losing $0.05 we're just doing it as a wash. But in terms of aggregate PMC numbers that puts pressure on this number. And that’s what I talked about last quarter when I said that this sort of controlled run-off of affinity PMC is going to delay our return to year-over-year growth in North American PMC. It doesn't have much economic consequence, but when you look at that number that’s going to have a drag over both in Q4 and going forward. Just as a point of quantification, I think Q1 affinity marketing spend is down more than 30% over Q1 last year. So, we took that number down, that wasn't our original plan, it doesn't have that much economic consequence. This is what I would call the margin and spend on a profitability basis, but it does affect this particular metric.
Peter Stabler: Gary you want to take the…
Gary Swidler: On the PMC number, so we are seeing 15% plus for the year and what we have is a lot of confidence that we will be able to move PMC up at least 15%, but hard to say exactly how it is going to turn out for a variety of reasons. Tinder clearly has the possibility to achieve that on its own, but as I said in my remarks we’re toggling between a la carte revenue and sub growth for Tinder and we don't know yet how that’s all going to play out. So, I wouldn't read too much into it on the Tinder side, other than we got to figure out exactly how we want to monetize Tinder in 2017 with a few more variables than we had in 2016, but we expect Tinder to contribute strongly to the PMC growth. We expect POF to continue to contribute strongly to PMC growth international, especially Meetic and our Japanese business. So, the same business that have been contributing in 2016 we think will contribute. What’s going to happen as Greg just spoke about is, we won’t really see PMC growth from OkCupid from Match North America until very late in the year. So they won't contribute are a lot of PMC in 2017 to the PMC growth number and then you got this deduction, essentially from affinity as we reduce our spend on that business and bring it down. And so when you aggregate that altogether that’s how we get to the 15% plus and we will obviously update you as the year goes on and how that is …
Greg Blatt: Yes, a little more color there, which is on, obviously we talked about affinity, talked about Tinder and POF, on Match and OkCupid they are sort of on the course they’ve been on, meaning we talked about Match, OkCupid, affinity together returning to year over-year PMC growth by the end of the first half of 2017. Affinity puts a cloud on that, but Match and OkCupid are still on their track. We expect them to return collectively to year-over-year PMC growth in Q3. And that’s sort of always been the case, I think you look at Match alone, I mean in the second half of 2016 first-time subs, which is the leading indicator was flat year-over-year for the first time and God knows how many quarters, I mean it has been a steady decline for a long time. Second half of 2016 flat over second half of 2015, we expect improvements in net ads every quarter in Match PMC throughout 2017. Same with OkCupid. OkCupid hit our low point year-over-year FTS in Q3, improved in Q4, we expect improvements in net ads and OkCupid every quarter in 2017, so while Gary is right that in the first of the year, OkCupid and Match have growth themselves. They do contribute to the overall growth number by having less of a drag on the number in 2017 than it did on 2016, meaning the extent to which it’s down year-over-year will be less in the first part of 2017 than it was in the first part of 2016, which also helps contribute, again turning positive in the second half of 2017. So, again I think if you go back I notice this has been a hot topic, if you go back all the way to the IPO you just look at North America PMC, I would say Tinder has done better than we expected, affinity we obviously have an issue that really isn’t that much of an economic issue, but certainly was on a PMC than we expected. And match and OkCupid are pretty much right on target. OkCupid experienced a little more weakness last year than we thought, but it’s also rebounding, I think pretty nicely as we roll out this new products basically. And so it’s all in, it’s sort of where we thought it would be, with just a couple of little toggles up and down.
Peter Stabler: Very helpful, thanks.
Operator: Thank you. And our next question comes from Douglas Anmuth of JPMorgan. Your line is now open.
Douglas Anmuth: Thanks for taking the question. Can you just translate that conversation that we just had on PMCs into revenue a little bit more? And just thinking about the 2017 guide you are at 15% to 20% growth before and now at about 13% to 17%, I know Gary you called out the 1.5 percentage points of impact from FX. Is it fair to think that the rest there is all in the classic brands, if you could just clarify that or if there's something else? And then also can you just talk about your confidence in having flat EBITDA margins given the doubling of the Tinder tech headcount, marketing investments, how you see that playing out through the year? Thanks.
Gary Swidler: So, as I said there is not really, it’s not right to look at the change from the 15% to 20% to where we are now and think that’s really North America weakness, particularly shining through. I think that as we firmed everything up, I think we’ve kind of refined our guidance a little bit may be there is a little bit of conservatism in it, but we don't see trends that have really changed our overall view on guidance. So, we attributed the best bulk of what’s changed the FX, not anything fundamental in the business and certainly not anything in the North American performance in particular.
Greg Blatt: What was the other…
Douglas Anmuth : What is the spend at Tinder on headcount and marketing
Greg Blatt: You started to say translate the conversation, I thought you are going to say into English and I was concerned.
Douglas Anmuth : That would be helpful.
Gary Swidler: We did spend at Tinder on headcount and marketing.
Greg Blatt: I think, we are expanding our marketing and I put marketing in quotations, I know you can’t see them just because compared to the other kinds of marketing that we do at our businesses we are increasing it dramatically. I mean the business like Tinder you wouldn't normally expect it to even increase at the rate of revenue growth. You would expect to ultimately get leverage in it, unless you think back to the fact that we are still really in the early stages of this business and we really want to see if we can accelerate our moment in some of these places we're going really well. But that’s a big slog of it. I think even with that and look, I don't know how much we are ultimately going to spend on it. I really don't. We had really good success at small levels of spend. We’re going to increase that spend dramatically and we’re going to know a lot more by the end of this quarter. But I feel pretty confident that, we gave a range for EBITDA and a range for revenue, and obviously your margin swings a lot depending on sort of, where you end up in both those ranges, but we feel pretty good about those ranges. If that makes any sense?
Gary Swidler: We try to lay out the maximum amount of spend at Tinder on the marketing and so that’s how we get to the flat EBITDA margin. But obviously if we don't see it being effective or we can't spend all that effectively we will pull that back and it will change the margin characteristics for the year, but I think the flat margin and corporate pretty heavy load of spend on the Tinder marketing. So, I think we have confidence that’s sort of the max that we would spend on there.
Douglas Anmuth: Okay. If I could just follow with one - just on a one-time basis, maybe just because we're kind of kicking of the year, is there any color you can give on total dating MAUs, DAUs, just to help us level set around the business and the brands?
Greg Blatt: I actually don't even have the number in front of me. I think if you ex out Tinder, I think as we said before last year was a, not so much a big top of the funnel growth year. So, I think that excluding Tinder and their use are probably flattish to up a little bit overall. I think the revenue growth continues to be solid. It is obviously growing less than revenue and less than PMC as you would expect, but it’s growing well again. Nice strong double-digit growth, stronger in rest of world than in Europe in the U.S. but continuing to grow in all three sort of sectors. I think the one piece of color I just want to lay and not because it really implicates our results as much it’s interesting, Q4 and even in the beginning of Q1 have been a little weird. The election actually had a pretty profound impact on, I think viewing habits, we saw 20% decline in registrations. When the election hit and if you actually look at the map, we've actually seen increases in registrations and activity in states where Trump won and decreases in registrations and activity in states where Trump didn't win, and that’s obviously been eradicating, but it has definitely caused a little bit of a funk in terms of, in a way you would have never seen before. I mean, and again that’s dissipating, but it is just really interesting to watch, does it really have any real implications for our business in any long-term sense, but it was a weirdness that we’ve never seen before.
Douglas Anmuth: Got it. That's helpful. Thank you.
Operator: Thank you. And our next question comes from John Blackledge of Cowen and Company. Your line is now open.
John Blackledge : Great. Thanks for the questions. So Greg you transitioned to CEO of Tinder in December could you just discuss the rationale for the move and perhaps like the bigger strategic initiatives you're thinking about for Tinder in 2017 and going forward? And then secondly, just a follow-up on the sub question, with Match North America and OkCupid returning to kind of PMC growth in the back half of 2017, how should we think about longer term core Match North America sub growth starting in 2018 and going forward, do we get back to kind of mid single-digit, high single-digits sub growth in 2018 and going forward? Thank you.
Greg Blatt: You're welcome. I think the Tine move, Sean and I have been working together relatively closely for a while. I think that tinder had clearly gotten to a point where it needed a different expertise and breadth of management. I think obviously like any start-up, we wrestled with the right way to do that for a while. We made a change in CEOs, a couple of years ago, that didn't really work out. Sean sort of stepped back in the CEO role with me as sort of a Chairman being there to help. I think as we evolved that I think that, and it became clear that we were, despite our great growth I think we were leaving lots of opportunity on the table just through a lack of organizational expertise, discipline except that you wouldn't expect to have in a CEO of that level of experience. We talked about bringing in a COO; we talked about bringing a CEO; et cetera from just a overall dynamic stage our view was strategically things are going very well. We didn't want to bring up and do a big fake up that wasn't what we were really looking for, obviously Tinder is where a lot of for growth is, it’s where I thought that I could make the biggest impact at least in the near term. So, that’s what I’m doing. I think I’m the right CEO for Tinder right now. That may not be always the case. I think we are bringing the level of discipline to, especially the product side that we haven't really had before. And I think that especially if you keep doubling resources every year, you need that. I think, we have an incredible idea funnel, I don't think that’s at any shortage. I think the art of bringing analytics to it of bringing discipline processes to it, is something that hopefully I can affect, I expect our productivity to increase meaningfully on the product side over the course of this year and that’s really what this business is all about at the end of the dark, meaning spending money in India and Brazil and everything else is smart and good and can accelerate growth, but at the end of the day it is about the product experience. We continue to have such a leadership position globally across all the competition and not to sort put everything into it both from a personal perspective and a financial perspective just doesn't make any sense. So that's what’s drove it and I think things are going really well. In terms of, sorry what was the other question Gary?
Gary Swidler: [Indiscernible] long term growth.
Greg Blatt: I think we had always said, a way to think about it is, we haven’t, I mean Gary talked about how too much can move your 2017 plan, never mind 12 months can change our 2018 outlook. So take this with a great result, but the plan was always, the outlook was always that by second half of 2017 we would start to see North American sub growth again, as you got into 2018 we would start to approach that mid-single digit growth rate and that beyond we thought we could be at that mid-to high single digit growth rate. I think it’s fair to think about all that is sort of slipping six months, so we are now going to hit that growth in 2017 in the back half instead of the front half, maybe that means we get to 3% PMC growth in 2018 instead of 5%. I don't really know. I think that it’s going to increase meaningfully and I don't think it changes any of the outlook that we've had. POF International again continues to be ahead of that. So if you ex out Tinder I think that mid-single digit PMC growth rate is probably right. You’re probably still going to be a little positive or little bit less in North America, at least in the three brands we talked about, OkCupid, Match and Affinity, but overall when you take all the non-Tinder brands, I think that’s probably right and I think it’s the North American coming to a line item that we could start to push you up into that higher single digit range.
John Blackledge: That's great. If I could just have one follow-up, you didn't call Tinder advertising out of the driver, you called PMC growth and a la carte, but with direct advertising revenue tripling in 1Q just trying to figure out how you look at ad load. In 2016 was it 1 of 100 swipes were an ad and where is that going, is it 1 1/2 or 2 out of 100 swipes in 2017 will be in ad, when you factor in Facebook and ramping up direct sales? Thanks.
Greg Blatt: So, I think look it’s tripling in Q1, but it’s still up relatively small number, I think what we said last quarter, I think it’s so generally true is we expect indirect revenue percentage of revenue to be somewhat consistent. Maybe we could do better, I don't know, but I’m not sure what is in the plan. I think in our current state of the direct sales business, the app load and frequency is not an issue, we haven't focused on it at all. I think one of the first think we're going to do when we plug in Facebook is start to test frequency because then suddenly we can turn on as much volume as we want and I think that by the end of Q2, I’m going to be able to answer that question with some precision. Right now it’s literally all guesswork. I mean it’s not a relevant number right now. The inventory level is so small, but Facebook gives us the ability to hit any ad load we want and I think Q2 we are going to spend a fair amount of time testing that to try and find what our optimal level is.
John Blackledge: Thank you.
Greg Blatt: You’re welcome.
Operator: Thank you. And our next question comes from Chris Merwin of Barclays. Your line is now open.
Chris Merwin: Alright thank you. I just had a couple. You talked at the Facebook partnership for Tinder a bit, but is there an opportunity to extend that partnership to the rest of your brand? And how are you thinking integrating ads more generally in a way that's additive to revenue and doesn't impact engagement? And then secondly on Tinder as you start to push a la cart a bit more, do you anticipate any increase in churn if users are able to use some of these features without having to sign up for a subscription? And in that case, does it make sense to start reporting a la carte separately? Thank you.
Greg Blatt: Sure. On the Facebook question, the Facebook is an in app advertisement product. Outside of Tinder our app businesses, again mobile web tends to be a lot bigger, which again is one of the reasons we are excited about adding mobile web to our Tinder product in Q2, but I think that right now our app products don't have a lot of advertising in it. They also don't have a ton of volume. I think it is absolutely possible that Facebook could become a solution for that, but I don't think of that as a real big certainly 2017 mover, but the ad business overall is, we are building it again, I said it in a non-urgent way. I think, we just spent in the non-Tinder business a year optimizing our products, our mobile products for our direct business. Now we have to start working in the advertising piece too again as a second priority. So, I think that sort of an 2018, 2019 type issue. In terms of the impact of a la carte on subscription, I just go back to what Gary said, which is we're going to optimize for revenue, it is absolutely right that if you go heavier on a al carte there will likely be some cost paid on the PMC side, whether that comes in churn or that comes in conversion, when it comes, whenever it will come you do it, if it was a net positive and if the net positive was such that it really drove materiality in some numbers that we don't currently disclose we'd absolutely think about making some additional disclosure. Right now, I don't think it’s really necessary.
Gary Swidler: Yes, it was a relatively small number in this quarter since we just rolled it out, but obviously we will look at it going forward and see if it makes sense, we will consider disclosing it.
Chris Merwin: Alright, thank you.
Operator: Thank you. And our next question comes from Lloyd Walmsley of Deutsche Bank. Your line is now open.
Lloyd Walmsley : Thanks guys. A couple if I can, it sounds like you are pretty excited of the ROW opportunity for Tinder and some of the marketing experiments you've been running, can you just kind of talk about the competitive environment in some of these bigger markets, like is it pretty open or are there local components you're going up against? And secondly on the Tinder log and web app, are there any markets where you've rolled that on a test basis that give you any indication of how much low hanging fruit there might be? Or is that rollout just happened all at once across geos, how should we think about that rollout and any tests you may have run?
Greg Blatt: Sure I think, I guess in markets like let's take India, there is some competition, but it’s effectively an un-penetrated market and there you are fighting not so much competition, but culture, right. So what stands between Tinder and sort of great India penetration isn’t three competitors, it is getting the Indian culture comfortable with a dating app, and how it works, and everything else. And Turkey is similar to that. Brazil is a country with a bigger history of those, but nothing dominates the way that Tinder does. I would say that we’ve had a hard paywall business in Brazil for a long time. Tinder sort of cut through that, it appeals to different group. I think as regards to the classic Tinder demo, I don't think competition is really the issue in these places. It’s more just cultural advancement. We haven't tested yet. We obviously, by analogy we made some assumptions about the kind of impact these products could have as we set out to build them. They are pretty intensive projects, I mean they are, most things we do at Tinder aren't multi-month large team projects these are because they are so fundamental. I think when they are ready we will launch them in certain markets in test, not so much to see their impact because at that point we're fully baked, but to make sure they work and to fine tune and all that sort of thing. So, I think that’s all going to start happening in Q2. We expect both to start testing and to roll-out completely these products within the span of Q2.
Lloyd Walmsley : Okay. Thanks guys.
Operator: Thank you. And our next question comes from Eric Sheridan of UBS. Your line is now open.
Eric Sheridan: Thanks for taking the question, maybe two if I can. One, on Tinder as we continue to see strong subscriber growth and obviously the monetization comes through, what are you seeing in terms of engagement with the platform as you layer monetization on top of it? So if we were to look at an older cohort of Tinder users, any color you could give us about either improvements or flat in terms of the engagement trends broadly and towards the older cohorts? And question two, I don't know if we touched upon it early in the call, but on the affinity disclosure with respect to lower subs and lower marketing spend as you sort of sort through that business, is there any way to quantify the impact that are on a sub basis or a marketing basis for Q4? Thanks so much.
Greg Blatt: Sure. On the engagement - there are a number of ways to look at your question, Tinder plus users, the subscribers tend to be the most engaged customers obviously, so they are on the product the longest et cetera. That's good for the product. Some of the features actually enable greater engagement than the non-Tinder plot has. On an aggregate basis DAU/MAU has been pretty constant for years. I think probably from the first six or nine months on there was a decline meaning that early group was incredibly engaged, but for the last two and a 2.5, 3 years DAU/MAU has been generally pretty consistent. Certainly within geographies it’s been very consistent. In terms of the affinity, Gary if you understood exactly, I’d answer, why don't you…
Gary Swidler: I think on affinity, we're talking about reducing marketing spend in every dollars into the double-digit, north of $10 million. And so that’s real bottom line impact to us.
Greg Blatt: And so it also takes down the PMC number, right. But we are hopeful that we can reallocate some of that spend in a positive way over the course of the year. So in this business, I know it’s been frustrating, but a lot moves throughout the year, you are making marketing, you don't set our marketing plan on day one and then execute it, you are buying literally every day, you are buying TV every week, you are buying Facebook and mobile platform every week, we set a range, we're pretty confident we will end up in that range, within that range the composition will change 15 times and we will update you every quarter, but that is our current sort of outlook on it as we build it for the year.
Eric Sheridan: Thanks.
Operator: Thank you. And our next question comes from Dan Salmon of BMO Capital Markets. Your line is now open.
Dan Salmon : Hey guys good morning, one for each of you. Greg, as you look out, I know it's very early in the marketing spending that you are investing in the rest of world for Tinder just yet and I assume usage PMC growth, those are the early things thinking of users and growing the number of people using it. But when you look at sort of early monetization are there any sort of early insights to take? One assumes that sort of emerging markets typically monetize at lower rates than Western markets, but just interested if you're seeing any early dynamics there on monetization? And then for Gary, could you just get a little deeper into the CapEx and the reduction there and how you look at it on a bit more of a run rate basis? Thanks.
Greg Blatt: On the rest of world marketing stuff, I think we’re not trying to buy a registrations or users, we are trying to sort of move the baseline, right. We’re trying to create viral coefficients that, you always have a baseline and you have sort of the direct impact of marketing, we're trying to move the base baseline, which is then when you start marketing, you’ve actually moved the entire sort of, you’ve widened the top of the funnel permanently. It takes a little while to evaluate whether or not you have successfully done that are not, but it doesn't really impact monetization. I mean clearly to the extent you create a more dynamic community, and over time you have a better user experience, which should lead more people to monetize, but right now we’re very focused on simply expanding that top of the funnel on a baseline basis. I think, ROW is obviously not monolithic, so India, Brazil, Turkey they are all different. I think it’s safe to say that ROW monetizes meaningfully lower than Europe, and the United States. Same time it’s also on a user basis a huge portion of our business and in aggregate revenue, the aggregate revenue from that piece is not at all insignificant. It’s less than half, but it’s more than 20%. It’s a meaningful number, and hopefully growing. So we're going to be patient on this, we want to see that rise in the top of the funnel, we're not really looking at the monetization piece as a measure of whether or not this market marketing is successful at this point in time.
Gary Swidler: On the CapEx question Dan, we had outsized CapEx in 2016 as Tinder expanded its office facilities pretty significantly, we did a headquarters move of our Dallas office and then we also had a big expense moving a data centre from Virginia to Texas, which was a one-time event. So, it was inflated in 2016, I think you should look at 2017 and what we're forecasting for 2017 is more appropriate on a run rate basis.
Dan Salmon: Great, that's very helpful. Thank you to both.
Greg Blatt: One more question.
Operator: Thank you. And your last question will come from Victor Anthony of Aegis Capital. Your line is now open.
Victor Anthony: Thanks. Maybe two questions. In the past you've talked about re-subscription conversion as well as older cohort conversion as an opportunities, so maybe you could talk to that and what your expectations are for 2017? And on capital allocation, you call it M&A as you have any past, so maybe you could talk to what's missing from the portfolio, maybe you could go outside of core data platform? I’m not sure. Thanks.
Greg Blatt: It is a great question on the older cohort conversion, as you heard me answer earlier, you can get really deep on this stuff. I talked about FTS or first time subs, really turning in Match and OkCupid and that’s the leading indicator. That is driven by a, the number of rigs coming in, and you're early conversion, which is a metric that we’ve been focused on. I think we are starting to see improvements, certainly in resub, we are starting to see some leveling off in the older cohort, so all that is turning positively, and we expect that to contribute to this growth or this return to growth over the course of 2017. So yes it is significant, a significant impact and we're seeing improvements there. In terms of the M&A, look I think there is always geography, right. There are a geographies where there are interesting things that we could buy. There are always new products, I mean something becomes strategic by virtue of being a good product that has an interesting twist that appeals to people. And we see something we say, we could take this and we could do more with it than they can. So that’s the kind of thing that pops up. You talked about going outside of dating, I think it’s possible to go outside of dating. I think it will be much closer to dating, whatever we would do then Princeton Review was, you would have to really leverage either be a matching app or a people discovery app may be for something other than dating, some sort of social engagement, it will be pretty close to what we are doing. I think at least in the near term and obviously if something like that happens we will tell you all about it, but right now as always we are opportunistic in M&A, we don’t really forecast what we will do, but it’s been, it has probably been our longest scratch without an acquisition in seven years. Obviously, we're pretty focused on being a newly public company and making sure that we hit our agenda, I think looking back Gary and I were talking about the road show 13, 14 months ago. And overall I think we pretty much did what we said we were going to do. Again there were a couple of things that were a little better, couple of things that were a little worse, but overall I think we are pretty much on track, we feel good about that. Now we're pretty much focused on the New England Patriots revenge tour, we're off to Houston. Tom Brady getting number five, go Patriots and we will see you guys and talk to you guys next quarter. Thank you.
Gary Swidler: Thank you.
Operator: Ladies and gentlemen thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.